Operator: Good afternoon, ladies and gentlemen, and welcome to Kemper's Second Quarter 2018 Earnings Conference Call. My name is Cole and I will be your coordinator today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, the conference is being recorded for replay purposes. I would now like to introduce your host for today's conference, Michael Marinaccio, Kemper's Vice President of Corporate Development and Investor Relations. Mr. Marinaccio, you may begin.
Michael Marinaccio: Thank you, Cole and good afternoon, everyone, and welcome to Kemper's discussion of our second quarter 2018 results. This afternoon, you'll hear from Joe Lacher, Kemper's President and Chief Executive Officer, Jim McKinney, Kemper's Senior Vice President and Chief Financial Officer and Duane Sanders, Kemper's Property & Casualty Division President. We will make a few opening remarks to provide context around our second quarter results and then we will open up the call for a question-and-answer session. During the interactive portion of the call, our presenters will be joined by John Boschelli, Kemper's Senior Vice President and Chief Investment Officer, and Mark Green, Kemper's Life & Health Division, President. Before the markets opened this morning, we issued our earnings release and published our second quarter earnings presentation, financial supplement and infinity supplementary financial information. In addition, we filed our 10-Q with the SEC. You will find these documents on the Investors section of our website, kemper.com. Our discussion today may contain forward-looking statements. Our actual results may differ materially from these statements. For information on potential risks associated with relying on forward-looking statements, please refer to our 2017 Form 10-K, as well as our second quarter 2018 earnings release. This afternoon's discussion includes non-GAAP financial measures that we believe are meaningful to investors. In our financial supplement, presentation and earnings release, we have defined and reconciled non-GAAP financial measures to GAAP where required in accordance with SEC rules. And finally, all comparative references will be to the second quarter of 2017 unless otherwise stated. Now, I'll turn the call over to Joe.
Joe Lacher: Thank you, Mike. Good afternoon, everyone and thank you for joining us on the call. Before I jump into our second quarter results, I'd like to begin by highlighting Kemper's commitment to our strategy of building strength in core businesses, which focus on growing niche and under-served markets. On July 2, we achieved an important milestone in enhancing our position in one of these businesses, with the consummation of our acquisition of Infinity. This acquisition accelerates our progress towards becoming the premier specialty auto franchise in a nice market through enhanced revenue growth and the addition of a talented team of committed associates. I'd like to welcome the 2200 Infinity employees that are now part of the Kemper family. We are all stronger together and I'm proud of how far we've come in becoming a more powerful team. As you can see from page 3, Kemper is a national multi-line insurer, providing specialty auto, preferred home and auto and basic life accident and health products with a market capitalization over $5 billion. Our distribution network consists of 2200 career agents and approximately 30,000 independent agents. Turning the page 4, our long-term perspective remains focused on building Kemper's overall value by leveraging our competitive, advantages while building core capabilities in order to maximize the value we deliver to all our stakeholders. Approximately two years ago, we set forth a strategy to unlock the embedded value within each of Kemper's businesses. We remain focused on this execution and we've made significant progress. Our success is evidenced by the quality of leadership we've attracted, the significant turnaround of our specialty auto business and our recent acquisition of Infinity. We've also continued to make great strides in our initiatives to unlock the value within both our life and health and preferred home and auto businesses. The diversified revenue stream provided by all of these businesses adds tremendous value to our organization. Now, let's turn to page 5 and look at some of our second quarter highlights. Overall, we had a strong quarter, reporting net income of 37.6 million or $0.73 per share. Adjusted consolidating and operating earnings per share increased from $0.41 per share to $0.70 per share. Earned premiums increased 13% in the quarter to 658 million, primarily driven by volume growth within our specialty auto business. In the P&C segment, strong top line growth was driven primarily by policy growth in the specialty auto business, which posted a 29% increase in policies in force and a 32% increase in earned premiums. In addition to strong growth, the P&C segment's underlying combined ratio improved 2.2 percentage points in the quarter, largely driven by the specialty auto business, which improved by 2 percentage points and contributed a greater percentage of premium to the segment. Our life and health segment continues to provide a stable source of earnings with predictable cash flows. Net operating income increased $6 million in the quarter. Our core investment portfolio continues to be a strength, delivering a consistent income stream. This quarter, we reported net investment income of $78 million. Our balance sheet and capital levels remain strong, post our acquisition of Infinity. We currently have approximately 500 million of parent company liquidity, consisting of over 140 million of cash and investments at the holding company plus borrowings available under the revolving credit agreement and from our subsidiaries. We have over 100 million of excess capital. Despite our recent acquisition of Infinity, our debt to capital ratio of approximately 27% is very manageable and is expected to return to the low to mid-20s within the next 12 months. Lastly, I'll point out that we amended and extended our credit agreement, increasing revolver capacity to $300 million. In keeping with our theme of attracting talent, we're excited to have Teresa Canida join the board of directors after having served on Infinity's board for the past nine years. Her experience and residency in a key South Florida market will provide valuable insight and strength to our team. With that, I'll hand the call over to Jim to discuss our consolidated financial results in more detail.
Jim McKinney: Thank you, Joe and good afternoon. I'll start on page 6 and review our consolidated second quarter results and then briefly touch on our life and health results. Overall, we had a successful quarter. Net income was 37.6 million or $0.73 per share. This is up from 36.6 million or $0.71 per share last year. Adjusted consolidated net operating income was up 74% to 36.5 million or $0.70 per share for the quarter compared to 21 million or $0.41 per share in the prior year. Earned premiums increased 13% from last year or 76 million in the quarter to 658 million. Our investment portfolio continue to provide us with consistent returns, with a pretax equivalent annualized book yield of 5%, delivering 78 million of net investment income in the quarter. Book value per share, excluding unrealized gains on fixed maturities ended the quarter at $36.85, up 5% from $35.13 last year. On the bottom of the slide, you'll note that we continue to profitably grow our P&C policies in force while improving both the underlying loss ratio and the expense ratio. In the life business, we are beginning to see an end to the decline in policies in force and the face value of the book. Turning to page seven. We isolated the key sources of volatility in our earnings. In the highlighted section at the bottom of the page, you can see the underlying operating performance for the quarter. Quarter-over-quarter, we improved underlying performance 58% or $0.48 per share, as we remain disciplined in our approach to strategy execution. Overall, we're pleased that our underlying operating performance remained strong, as we seek to optimally manage the risk reward trade off on each of these sources of volatility. Our life and health division's results on page 8 of the presentation. On the top half of the page, you can see the stable revenue trend continued. Earned premiums increased 4 million to 157 million, while net operating income improved to 26 million. This increase was primarily driven by an 11% increase in A&H earned premium. The life and health division overall continues to provide stable and diversified earnings with predictable cash flows. I'll now turn the call over to Duane to discuss the results of our P&C division.
Duane Sanders: Thank you, Jim and good afternoon, everyone. I'll begin with a discussion on specialty auto on page 9 of our presentation. We continue to see significant improvement across our entire specialty auto business. Direct written premiums grew by 88 million. Our best guess that roughly 30 million came from business entering the marketplaces since access insurance was forced to seize operations. This highlights the strength of our market position. Earned premiums increased to 308 million for the quarter, up 74 million or 32% over the second quarter of 2017. We estimate that former access business accounted for roughly 20 million of that increase. The top line growth was primarily fueled by higher volume, as policies in force increased 29%. More importantly, this growth was achieved profitably as reflected by the improved underlying combined ratio. Specialty auto's underlying combined ratio improved 2 percentage points over the second quarter of 2017. The business benefited from moderating loss trends, rate actions and increased scale. With the combination of Infinity, specialty auto is expected to further enhance the value we provide to all of our stakeholders. Moving onto page 10, our preferred auto business continues to show improvement. While our underwriting results remain below our target profitability goals, we're seeing improved underwriting results work its way through the book as we benefit from rate increases and moderating loss trends. Turning your attention to homeowners, the underlying combined ratio was 81.6, about 2 percentage points higher than last year, primarily resulting from the seeded premium for our aggregate CAT treaty. Results were also impacted from a one-time two-year assessment related to Hurricane Harvey. The team remains focused on rate action claims and underwriting practices to bring this business to an appropriate level of profitability. I'll now turn it back to Jim.
Jim McKinney: Thank you, Duane. Turning to investments on page 11, this area continues to be a strength for Kemper. Our portfolio is diversified, highly rated and has performed well over time. On the bottom left of the page, we've broken out the portfolio by investment type and provided the fixed maturity ratings. The portfolio continues to be conservative in nature with approximately 80% comprised of fixed maturities, and of those 90% are investment grade. Looking at the chart in the upper left, you can see our performance over the past five quarters. This quarter, we delivered 78 million in net investment income. The core portfolio produced higher net investment income due to growth in the underlying life and specialty books. The alternative investment portfolio generated income of $7 million. Overall, in the second quarter, the portfolio delivered an attractive pre-tax equivalent annualized book yield of 5%. Turning to page 12, we highlight our strong capital and liquidity position. At the end of the second quarter, we had debt to total capitalization ratio of 32%, as we pre-funded the cash portion of the Infinity acquisition. Post the close of Infinity, we are now at 27%. We expect the debt to capital ratio to revert to the low to mid-20s within the next year. In the chart on the upper left hand corner, you can see our parent company liquidity. At quarter end, we had 709 million in cash and investments and 350 million in borrowings available from our revolver and insurance subs. Again, this is not representative of our current position as we are holding an extra 565 million of cash for the closing of the Infinity transaction. After settling the transaction, we now have 144 million in cash and investments along the holdco to serve as a source of strength for our subsidiaries, while providing ample annual operating expense coverage. Looking at the chart in the upper right, you can see our insurance groups remain well capitalized. If you look at the bottom left of the page, you can see that our businesses continue to generate substantial operating cash flows that are expected to grow considerably with the addition of Infinity. If you will now turn to page 13. I will provide you with more detail on the economics of the Infinity acquisition. The transaction was funded with 13.2 million shares of Kemper common stock and approximately 565 million of cash consideration. The cash consideration was partially funded by a 250 million term loan and 110 million in borrowings from the FHLB. We fully repaid the FHLB borrowings related to the Infinity acquisition on July 13. When we announced the acquisition in February, based on our 20-day volume weighted average price, the transaction was valued at 1.4 billion. At the close, given the appreciation in our stock, the ultimate consideration paid was 1.6 billion. Turning to page 14, we have decided to share Infinity's second quarter results as they will not be filing a 10-Q this quarter. Additionally, I will point out that we have provided Infinity's supplementary financial information on the Investors section of our website. Before transferring the call back to Joe, I would like to highlight a couple of items from Infinity's second quarter. Infinity's earned premiums increased to 374 million for the quarter, up 35 million or 10% over the last year, from a combination of policy growth and higher average premiums per policy. We estimate that business from access accounted for roughly 8 million of that increase, at the same time, Infinity experienced a strong uptick in its underwriting profitability. The combined ratio improved by over 8 percentage points as a result of improved loss cost trends in California and Florida, higher average premiums earning in from prior rate increases and the fact that last year's combined ratio was artificially high by 3.6 percentage points, as a result of the California premium refunds. With that, I'll turn the call back to Joe for some closing comments.
Joe Lacher: Thanks, Jim. So to wrap up, the strong results this quarter demonstrate the significant progress we've made on Kemper's transformation and the effective execution of our strategy to date, specifically the strong growth in profitability of both our specialty auto businesses further solidifies and validates our thesis for the acquisition of Infinity. We've made tremendous progress in the integration of our organizations and are excited about the power of the combined platform. Now, I'll turn the call back over to the operator to take questions.
Operator: [Operator Instructions] And our first question comes from Greg Peters from Raymond James.
Greg Peters: I had a couple of questions for you. First off, I know you've laid a roadmap out for expense savings as a result of the merger with Infinity. And I was wondering if you could spend a minute and just sort of close the chapter on the first restructuring initiatives that you guys launched in 2016 and sort of run through where you initially set your goals and what the final resolution was, especially when we think about the context of, I think, you initially had said $55 million of cost savings from Infinity by second quarter 2020.
Joe Lacher: Sure. I'll give you a couple of comments and then Jim will tag team maybe with some more specifics on it, Greg. I think we talked two quarters ago, maybe it was three, I'm going to forget the exact timing about the initial $50 million to $65 million that we targeted for expense reductions as part of our national strategic plan, as team's initial strategic plan in September of 2016 and described ourselves of having achieved that earlier than expected and it was baked into the run rate going forward. I don't think, we gave you a precise number on where we were, but said that's done and then anything that came from the Infinity acquisition was on top of that. We had exceeded that initial goal and the cost savings from the transaction were incremental on top of that, but not taking into any account, you mean, double accounting, which I think is what you're trying to target.
Greg Peters: Yes. That's exactly what I was looking for?
Joe Lacher: We booked the first ones and they get another 55.
Greg Peters: The Infinity results, I have to go - I was looking at my model in the context of their combined ratio results and boy, you have to go back several years to where they were generating combined ratios in the low to mid-90s. Can you talk a little bit about how you're going to - what you're going to do with that platform from an expansion standpoint if they're running so profitably and I think there were just four core states, do you expand - expect to expand that platform over the next four to eight quarters or is that more of a long term strategic objective for you?
Joe Lacher: Greg, what we're going to do is we're going to take our specialty auto businesses and we're going to pull them together and have them function as one unit. We're not going to think of them long term as a portfolio of competitors inside the company. We'll be bringing those together. There are places where Infinity clearly had a meaningfully stronger platform than Kemper did, as an example South Florida or all of Florida. So we'll leverage all of Infinity's strength there. There's cases like California where it's more complicated and we had not fully consolidated our Alliance United business into the Kemper business. So we've got a little more work to do with super group as a start, but then to figure out how those pull together. We will ultimately operate this as one specialty Auto franchise and one specialty auto business. We'll push to get on one combined platform and really look to get the benefits of strength and scale from - by taking the best of both organizations.
Greg Peters: And two final questions, one on the preferred auto, it's still running above 100, but it is improving. Can you provide us an update on that market and where - when do you expect to get to your target margins and the timing of that.
Joe Lacher: Yeah. We continue to make progress inside of preferred auto. It's not moving as fast as any of us wanted to, but it's moving at a reasonable pace, given a variety of items. We've got a lot of states that we're operating in with more modest premium volumes and we are typically dealing with 12-month policies, not six month policies. And I think there's a general bias in a specialty auto or a nonstandard market, it's easier to access and get rates when things go a little sideways because it tends to go a little more sideways more severely. So, we fully expected the preferred auto would take a little longer because of that 12-month policy timing and because of the wider spread of states. We're going to continue to march aggressively forward. We are optimistic and continue to get optimistic about that business because we're going to share a claim department across our P&C platforms. The increased scale and the increased strength we're getting from the combination of Infinity and Kemper Specialty Auto business and the growth we have there will just make that claim department more effective for all of our businesses. So we'll get some extra - hopefully some extra lift, and maybe accelerant coming off of that.
Greg Peters: And then on slide 4, I just was struck by the bottom of it and it's not something that's really changed, but your objective to deliver a low double digit ROE overtime, it feels like with the rate of recovery, an improvement that legacy Kemper has been able to realize coupled with the opportunities at Infinity that getting to mid-teens ROE seems more realistic near term, given what's going on in the market. And I'm wondering, if I'm just missing something or perhaps this needs to be freshened up or to reflect the realities of the current market.
Joe Lacher: What we're trying to do Greg is provide a longer term ROE target, not a near term one. Near term, it's definitely a terrific marketplace. We don't want to be changing that kind of target, just based on whether or not we're in a soft or a hard market. We would look at it and in our view on it was once you get in - particularly in a P&C business, because that's a little bit of what we're talking about right now and for an P&C auto business, we believe the best way to build long term shareholder value is to hit an attractive and appropriate margin for the business and then try to grow that business more significantly over time. We could work to expand margins and that would significantly hurt growth and we think that near term might look more attractive on a margin basis, but long term isn't going to be as good for shareholders or the health of the business, or our ability to begin build value long term. We have the portfolio business and they operate at different ROEs. So we're sort of thinking through that as we talk about that target.
Operator: And the next question comes from Matt Carletti from JMP Securities.
Matt Carletti: Greg covered a bit of what I had, but I just have a few more kind of numbers questions. The first one on the cat aggregate treaty, would that just relate to the legacy Kemper business or will the acquired IPC business become part of that? I realize that home is the biggest exposure there and so there's not as much coming with IPC, but just for modeling purposes?
Jim McKinney: Yeah. The cat aggregate treaty is specific to the property business at Kemper and we'd cover again the risk associated with that business.
Matt Carletti: I guess next question just on, you talked a little bit about the impact that - the benefit that you thought access had to the nonstandard book in the quarter. Do you think we're through most of this at that point, so there will be some more in Q3 and I'm thinking that most of those were probably 6 month policies and kind of working our way out or am I thinking about that wrong?
Duane Sanders: No, no. I think you're correct. This is Duane by the way. I would suggest that you're thinking about it right, albeit the consumers that would have - might have gone down that path in the past are still in the marketplace. So I think you'll continue to see some volume coming our way, but in terms of the initial component, we're pretty much past. I think the order was given in mid-March and they had to have a lot of that out by mid-April. And then it was a little bit of a trail. However, I think you'll still see some of that play out in the marketplace over time.
Matt Carletti: Okay. So it's fair to say probably Q2 is the peak, but there should be still some fall through most likely?
Duane Sanders: Yeah. I would agree. And potentially what that will - we'll watch the business, it's - we try to monitor any of the cohorts as they come through to the extent we can identify, which - what parts of our business are coming through access and with that, we'll watch the corresponding loss ratio in the movement.
Jim McKinney: We've got a little bit of an expectation. We had a little bit of an expectation with that, Matt. That business is coming in geographies and cells that are running a tiny bit harder for us. So, we wouldn't be surprised, if you're thinking about it from a modeling perspective, we wouldn't be surprised to see the loss ratio get a little pressure from that. We're confident with where our margins are, but we do know that that business has a little bit of a different mix than the business we have to date and it's coming through in a sufficient amount of volume. We think the written premium impact is through. The earned premium will effectively work its way through and there might be a little bit of pressure on the loss ratio.
Matt Carletti: And then just last question, Joe, in the past, I think you've kind of termed the life business as core or essential to the company. The life has stopped shrinking, the A&H has started growing very nicely. Can you just give us an update on kind of the efforts that you've put in place there and how you see that evolving in coming quarters and years?
Joe Lacher: Yeah. Great question. That business has been one where a lot of what Mark and his team have been doing is focusing on some heavy blocking and tackling. That business had suffered from some very significant under investment and there were some basic stuff that the organization hadn't been doing and we're tweaking that. It's changing processes and how do we move paper through the system, and how do we shift away from paper in to doing things electronically, how do we do it better hiring, training, retention of our sales people, how do we attack lapsed policies and appropriately try to retain them. A lot of small ball, baseball, doing a lot of the little things better. And as we get more effective in that case - in those cases, we'll start thinking about maybe doing things a little bigger or a little broader in that process. It may be work in different components of our product or different sales opportunities or different items. I think it took us a little longer than you might have initially guessed in early '16, but we're pleased with the progress we're making inside of both those organizations on building those core capabilities.
Operator: And the next question comes from Jeff Schmitt from William Blair.
Jeff Schmitt: A question on the 8.5 million of dealer related transaction integration cost. What was the nature of those and what do you expect for that over the next few quarters or is that just a one-time expense?
Jim McKinney: Yeah. Thanks, Jeff. Big picture wise, those are included inside kind of the $70 million in terms of total expenses that we had forecasted in terms of bringing the two businesses together. I would think about those as kind of one-time expenses. Some of the items that are kind of inside of that are related to write-offs of essentially technology or stuff like that that you're not going to use any for, it could be some severance items or other components that are inside there as well as kind of diligence and other cost, which represented kind of a larger component of the front end, if you're going back to kind of Q1 with the totality of that number. And so it's really about - it's those things that you would expect to kind of take place both now and then as we go forward over the next year and a half in terms of when we'll kind of reach the end state. And big picture wise, no change to the total number. It's probably back half, if you're trying to model it from just a cash flow standpoint of that, but right now, no change in estimates and we continue to kind of move forward with our initial plan.
Jeff Schmitt: Okay. And then the nonstandard auto book, just looking at the top line there. It was MPW growth, I guess is 37% and PIF of 29%. And I guess that sort of implies kind of high single digit rate increases, is that the right way to think about it and how does that compare I guess the last couple of quarters?
Jim McKinney: Yeah. I would say that's probably - I think you're close to mid to single digit rate change. Some of the other impact running through it, Jeff, is mix. And that has a piece of it. We're sort of doing the calculations back into it as Duane was starting to answer. It's probably two-thirds rate oriented, one third mix oriented as a back of the envelope guess, I'm not with a calculator doing that, but that's close.
Operator: And the next question comes from Paul Newsome from Sandler O'Neill.
Paul Newsome: I think you've covered a lot. I just have one question left, which is I wanted to ask about if there's any update to your thinking about the cost of funds related to the deal when we're thinking about modeling Infinity, given that you've actually now put the funds in place.
Jim McKinney: Paul, you're cutting out a little bit Paul. We heard you saying that we updated our thinking on cost of funds, but we're losing you a little bit in the question.
Paul Newsome: I apologize, let's see if I could talk a little louder. I don't know if that will help or not, but I'm curious now that you've close the Infinity deal, if the cost of funds for the transaction has changed materially, it's just a modeling question as we're thinking about Infinity and how it should roll through into the portfolio?
Jim McKinney: Yeah. Paul, good question. Big picture wise, they've marginally come down from the expectations that we had included in the last four. I wouldn't suggest it's an overly material number, but they have come down a little bit in terms of what we had modeled the transaction up from a cost of funds perspective.
Operator: And the next question comes from Gary Ransom from Dowling & Partners.
Gary Ransom: Yes. Good afternoon. I had a question on - a couple of times during the opening remarks, you mentioned moderating loss costs and I think you mentioned it on Infinity also that they were seeing better trends, can you give us a little more detail on what you're seeing in the nonstandard auto book on either frequency and/or severity trends.
Jim McKinney: The question or the comments from our part probably come from a little bit of a sense that, if you back up 24 months ago, we were getting hammered with loss cost trends and that's probably a little bit of what's in our heads, particularly, California saw the peak of the pain and that's one of our biggest states. So things have moderated from there. I think we would describe loss cost trends as sort of the mid-single digit, low single digit, sort of a normal type loss cost trend across all of our nonstandard businesses, whether with Infinity or the different buckets that we took the legacy Kemper business in. Similar views across those. Maybe a little bit more of a temperature on the BI side, relative than the physical damage, but all-in, low mid-single digit.
Gary Ransom: OK. And then on the growth in nonstandard auto, excluding the impact of access, there was still very strong growth, I was just wondering if you can give us some idea of the market dynamics that's allowing that strong pace of growth?
Jim McKinney: This is a case where I believe the strength of the specialization of both organizations is coming through. We've got a lot of folks who have some pressure on their loss ratios and the combined ratios and they're responding to that with rate and underwriting actions and that's causing more business to be in the marketplace, both of our organizations saw those issues earlier, rectified those issues earlier and are in a more stable position to be ready and receptive in the marketplace to write that business. It's similar to what you're seeing with some other stronger players and stronger names that you consistently see able to deliver that performance, attractive margins and growth, while other folks are cleaning up their shops.
Gary Ransom: Do you have any reason to think that it's going to change in the near future?
Jim McKinney: Well, I have every reason to think it's going to change eventually. This is a cyclical business. I would love it, if it stayed this way forever, but I fully expect what will happen is we'll see some element where those loss cost trends start to move a little less benign and we see folks getting more attractive margins and you see more competitors getting more aggressive and then we'll see that same pressure on margins and we're going to be disciplined, disciplined folks, trying to target that appropriate margins and appropriate growth to balance that trade-off. I fully expect it to change. I don't see it in the next quarter or two.
Gary Ransom: And just maybe one last question on the integration, is there - granted, it's only been three weeks or whatever, but any update on progress or what you've seen in the initial steps of the integration process, any surprises or things that were better or worse than you thought?
Joe Lacher: I'll start with a couple of thoughts and invite any of these guys who have other ones to add on. We actually started the integration process at about 10 o'clock on February 14. We were setting up integration teams inside of a week of announcing the transaction and doing every piece of work we could where obviously we're dealing with anything with pricing or marketing or customer facing items, but all of the back office stuff we were working on. So we've got a huge jump on that and to some degree for a lot of the folks who are thinking about operational stuff, the closing date was just another day, because they were already deep in that process. Generally, I think, our commentary would be that we're - the only thing we're surprised at really is how easily it's been just sort of come to decisions and figure out where we're moving forward. The organizations had similar cultures and similar thought processes on how they approach problems and we've been able to bang through those issues relatively and surprisingly briskly and are very pleased with what we found to date. Every integration and every combination has its share of challenges and speed bumps and items and we'll have all of those to come, as we put these things together, but we're very pleased so far with what we're finding and how the teams are working together, how collaborative they are, how quickly we are able to put aside whatever the old uniforms were and put on a new one together to figure out how we really unlock the value of the organization. So we're excited, I think we confirmed that we think the synergies we saw are there and are accessible and there's nothing that causes us angst about being able to unlock those.
Duane Sanders: Yeah. And Gary, this is Duane. I would echo one thing is, not to be repetitive with Joe's comments, but I do believe that the, what I'll call capability and talent match back and across between the two organizations were kind of hand in glove where they had some strengths, were supportive of some of the things that we were doing and they also had some talent coming into the place and vice versa. So I think that helps facilitate moving the two places together and so far we're fairly - we're really pleased with where we are.
Joe Lacher: I think what you've got running through the whole place is that a lot of times you have in an acquisition, you have a lot of people here in footprints and worried about it with the two organizations, making the returns they are and with the growth they've got, the whole organization knows we're open for business and are excited about getting some of this internal stuff behind us, so we can capitalize on that opportunity and it's exciting to be in that spot.
Gary Ransom: So it sounds like there's no reason to think not any of, I guess, there is a variety of synergies including some longer term ones stretched out in 2022 I think. I don't have them in front of me, but no reason to think any of those changed at this point?
Joe Lacher: Yeah. There's no reason to think that any of those goals have changed from anything that we've forecasted and suggested in the market. Today, all the information that we've received is those items are very achievable, they are within our control and we have very clear line of sight to achieving them, some of them are in process right now and others obviously kind of come with time and then I think relative to kind of the S4 and the positioning that we had there and page 263 or 265 or whatever it is, I think in terms of establishing kind of the base that we had indicated for where we thought profitability of the combined organization and where we thought we'd be stepping in to kind of Infinity, I think our assumptions around that have been good and we feel very comfortable in terms of - as well as essentially the capabilities that we've gained from a talent and team perspective, all of them at this stage are coming together very nicely.
Operator: [Operator Instructions] Our next question comes from Adam Klauber from William Blair.
Adam Klauber: You may have already said this, but how much of the cost savings do you expect to drop to the bottom line in '19 versus 2020?
Jim McKinney: Yeah. Thanks, Adam. Good question. The way that we were kind of thinking about it is not necessarily kind of an '18 or '19 item, but the way that we've kind of forecasted it out is relative from when closing occurred. What we've said and what we continue to believe is true is that we'll have about half of those fall through the bottom line with inside the first year and kind of half in the second year. I would tell you those are probably back loaded to something, so I wouldn't model it from a linear fashion, but we think we'll achieve the same, the dollars and the numbers that we've kind of outlined there. So, you might think about that in terms of total profitability coming in around 25 million to kind of 30 million with inside kind of that first year.
Adam Klauber: And then have you made a decision on a policy management system and if you have, what's the duration to get that in place?
Jim McKinney: We have not made a decision on the policy admin system yet. We're getting reasonably close. The good news is, some of those decisions are apparent, but we'll almost certainly use a third-party vendor and as we go through that process, we're appropriately taking the opportunity to explore different vendors, recognizing we don't have to do the same thing in our specialty auto business that we do in preferred and we're looking at the capabilities, cost and all the like and working our way through that. We can move briskly on that, even if we've made a decision already. Or if it takes us another three or four months, it will not have a meaningful impact upon when we would have been trying to put that into the marketplace or what do we do from a cost perspective on the policy admin system.
Adam Klauber: And also a follow-up, on the integration costs that you're going to incur, I think you mentioned 70 million. Is that just going to be incurred like we've seen in the last two quarters, quarter by quarter or you're going to bunch that up at one point to take a charge?
Joe Lacher: Well, the accounting rules will prescribe when we can kind of take the expenses or not. We generally have a pretty good idea of the total expenses and things like that. What I'll commit to you is that we'll be very transparent about those. As you've seen, we've got kind of the 8.3 that has come in today. We'll break them out and make sure that you're kind of aware of them to the extent that we could take them as a one-time charge. Clearly, we'd like to do that because it becomes easier from a standpoint of just helping people kind of work through the numbers, it's simpler, we're aware of that, but a lot of these things are accounting driven and so they'll kind of come out when they come out. What I would model is that number and I'd model them very similar to the kind of revenue as it kind of generally being kind of, I wouldn't do a linear like push you might think about, I'm a little bit back ended. And, I think the 70 million in total that we've given is probably a good estimate in terms of where we're expected to be and again you might think about those very similar to the way that we kind of talked about, a little bit of the synergies kind of half and half time periods, and again if there are updates, we'll update further as we get into it and get deeper into the process.
Operator: And the next question is a follow up from Greg Peters from Raymond James.
Greg Peters: Thank you for taking my follow ups. Two questions. I was wondering if you could comment on the different reserving methodologies, one at Infinity and the other at Kemper, or maybe there are very similar. I'm curious about it in the context of how it might?
Joe Lacher: Good question, Greg. I think, big picture, I think are you asking, are we going to end up or likely to have kind of a large kind of purchase accounting changes associated with the reserve. I would suggest right now we have relatively kind of similar processes, maybe different ways in terms of processes and in terms of how we come out, but a very similar general view in terms of what we're - from a reserving kind of methodology standpoint. With that in mind, I'm not anticipating any significant kind of change in terms of the overall total reserves one way or another. Now that said, we're still going through the purchase accounting exercise. We're still further diligencing our numbers and obviously there'll be more to come on the opening balance sheet in the third quarter. But right now, I don't see anything material.
Greg Peters: Okay. And then just another big picture question. I - listening to the larger companies in auto space and this isn't a new question for you, but there's a lot of emphasis around technology, telematics, applications on cellphones that can monitor driving behavior, et cetera and I'm just wondering how you are going to be going through this big restructuring on the one hand and then being able to keep up with what some of your peers are doing on the technology side? On the other hand, I'm wondering if it's too much in the marketplace or maybe you can just talk about your approach to both because they're both very important to the long term goals of getting your return on equity and getting into appropriate economic return on capital.
Joe Lacher: Yeah. Good questions, Greg and we think about them from a couple of different perspectives. The two companies, if you back up two years ago, Kemper and Infinity, both of us were struggling with a little bit of a scale challenge and the ability to make those investments, the ability to deal with the R&D, the ability to engage in some of those items were challenges for the two companies. Our ability - now that we're combined puts us in a meaningfully different position to be able to explore those and our ability at the margins we're generating and the growth we're generating both gives us an opportunity to think about that differently and if you just project forward expands that opportunity, because there's going to be a bigger, stronger organization and while this comes around to the benefits of scale. So we see that as a plus. We also are in a segment of the marketplace in specialty auto where most of those issues impact our segment of the market later. It's just slower from an adoption perspective, it's slower to have an impact in the niches that we've been in. So not having it and being a little behind on that is less of a challenge to us. What we're going to clearly have to do over the course of the next couple of years is play some catch up on it. That's the disadvantage, because we're playing catch up, but it's also an advantage because we can learn on somebody else's tuition, we can see what worked, what didn't work and focus more on them - in the spots that are more effective and leverage those. So it's a challenge we're thinking about all the time, it's part of the reason the acquisition makes a lot of sense for us and we'll keep banging away at it.
Greg Peters: And just as a follow up, there's again - during this earnings conference call season, there's a lot of rhetoric around InsureTech and there is a big segment or cohort of InsureTech that seems to be focused on distribution and personal lines distribution in particular. I'm wondering how you're viewing these emerging opportunities with new distribution partners or has it been because they're not really focused on your segment of the market, they're not really relevant or maybe they are, maybe you can provide us some perspective on that?
Joe Lacher: There's thousands of different ideas and everybody's got their get rich quick, I'm going to be the next Facebook idea in InsureTech. Some of them are going to be very effective, some of them are going to be crashes and burns. We're watching those items. We actually do some different things in fintech and InsureTech and are engaging with different folks and watching and learning inside of that space, maybe on a more modest scale than other folks are doing, but we're engaged and watching that things like plug and play in other places. So there is a plus there from a learning perspective. What I guess we'd expect and we're watching, I'm trying to think of the right analogy, if you back up 15 years ago, the big guys were all spending tons of money building proprietary systems and we're all convinced that their proprietary policy admin system was going to be what let them kick everybody's rear in the marketplace and then we found a couple of folks like a Guidewire that came out with a capability that could sell you something out of the box, which all the sudden let smaller players, ones that were big enough to afford the system, but were small enough to not have made those huge investments in proprietary systems could also leapfrog and in some cases get ahead of where some of those big guys are. We're very much anticipating that some of these InsureTech, fintech companies will come up with some bright thoughtful solutions to some of these things like apps that watch your driving behavior or other items that will let us accelerate and catch up and provide some of that leapfrog capability. So we're actively watching, we're excited about it, we think there's opportunities there. Haven't seen them materialize yet, but they'll be looking for carriers like us. They want to be fast followers in that space and we'll be great customers for them or partners for them because some of the bit guys won't be as interested. We're sort of in the right slot to matter to them.
Operator: And this concludes the question-and-answer session. I would now like to turn the conference back over to Joe Lacher for any closing remarks.
Joe Lacher: Thank you, operator and thanks to everybody for your time today and your interest in Kemper. We're excited about being a bigger and stronger organization. We're focused on continuing our journey to unlock all of the value inside of this new combined organization. We look forward to updating you again next quarter. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.